Operator: These documents on our website. By contacting our investor relations department. Let me now turn it over to Steve Hasker. Thank you, Gary, and thanks to all of you for joining us today.
Steve Hasker: 2024 was a year of continued progress at Thomson Reuters Corporation. So let me start by reviewing some of our key accomplishments. First, we delivered another year of good financial results, meeting or exceeding key financial targets. Full-year organic revenue grew 7%, up from 6% in the prior year. The big three segments also accelerated, growing 9% for the year versus 7% in 2023. Amid organic and inorganic investments, our margins eased year over year as expected, but came in modestly ahead of our expectations. And we delivered just over $1.8 billion of free cash flow. We continue to see healthy momentum from many areas in our portfolio. Uptake about generative AI offerings remains strong, with Westlaw Precision and Co-Counsel momentum continuing. And we have many other products and regions delivering double-digit revenue growth, including practical law, confirmation, SurePrep, Fierro, indirect tax, and our international businesses. 2024 saw significant and important progress from an innovation perspective as we continue to work to deliver on the product vision we shared at our 2024 Investor Day. We had several important product launches last year featuring generative AI capabilities, including Co-Counsel 2.0, Co-Counsel Drafting, and Checkpoint Edge with Co-Counsel. We also had dozens of other enhancements across the portfolio, and we are progressing with efforts to drive more seamless integration between our products. We continued with our build-partner-buy approach to investing in AI, including the strategic bolt-ons of SafeSign and Materia, which bolstered AI capabilities for our legal, tax, and accounting businesses. All in, our investments in AI grew meaningfully to more than $200 million in 2024, a pace we expect to continue in 2025 and beyond. This continued AI investment is included in our outlook and financial framework that Mike will discuss. Our capital capacity and liquidity remain a key asset that we are focused on deploying to create shareholder value. And we made strong progress on this during 2024. We completed the monetization of our LSIC stake in May, repurchased $639 million of our shares, and will raise our common dividend by 10% in 2025, the fourth consecutive year at this pace. Since the beginning of 2024, we have invested approximately $1.6 billion in five acquisitions, including Peguero and SafeSend. We also completed the Fine Law divestiture and sold two smaller non-core businesses in December. These moves bolster key franchises and improve the quality and growth prospects of our portfolio. Looking forward, our conviction around the medium-term growth potential for Thomson Reuters Corporation remains strong. As Mike will discuss in more detail, we are guiding for organic revenue growth of 7% to 7.5% in 2025 and updating our financial framework for 2026 to 7.5% to 8%, an improvement over the 6.5% to 8% for 2025 and 2026 that we discussed one year ago. We are also raising the 2026 revenue growth targets for each of the big three segments by 1% from our prior view. Now to the results for the quarter. Fourth-quarter organic revenues grew by 5%. Organic recurring revenues grew 8%. Transactions revenue decreased 4%, while print revenues declined 6% in line with expectations. A tough comparison at Reuters from significant transactional generative AI licensing revenue in the prior year impacted growth rates. Adjusted EBITDA increased 2% to $718 million, reflecting a 130 basis point margin decline to 37.6%. This lower profitability was expected and resulted from investments to position the company for improving growth and a difficult comparison at Reuters. As I previously mentioned, we achieved our full-year 2024 EBITDA margin.
Operator: Yielding a margin of 38.2%.
Steve Hasker: And adjusted earnings per share for the year was $3.77 compared to $3.51 per share in the prior year. Let me finish on the results for the full year by noting we met or exceeded nearly all of our 2024 guidance metrics. A lone exception was the big three adjusted EBITDA margin, which fell slightly short amid investments, including dilutive M&A and other higher incentive compensation, based on the strong 2024 performance. Now I'll spend a few minutes discussing our tax and accounting professionals business, including the recent SafeSend acquisition. Our tax and accounting professional segment we refer to as TAP, is a great business, that one could argue we haven't discussed enough with you. It has been our fastest-growing segment for many years driven by a large and attractive market opportunity, deeply embedded offerings, and market leadership positions in both the US and Brazil. At our Investor Day last March, we detailed a favorable industry backdrop that benefits our TAP business. CPA firms face ongoing talent shortages, increasing regulatory complexity, and growing demand, including for advisory services. This is fueling a relentless drive for efficiency and automation and rising technology investments by our customers as they transform their practices. Our organic product investments, M&A strategy, and open ecosystem approach focus squarely on helping our customers thrive in this complex environment by automating tax and audit workflows, bringing enhanced efficiency, and freeing up time for higher-value work. One important aspect of tax and accounting growth has been its strong track record of M&A, as is illustrated through the success of Domino, Confirmation, and SurePrep acquisitions. In the ten, five, and two years since we acquired these businesses, all three have compounded their revenue in excess of 20% growth annually. Given this history of success, we are very excited about the latest additions to our TAP portfolio. Material, which we discussed last quarter, and SafeSend, which we acquired on January second. SafeSend is a best-in-class provider of tax workflow automation software. Its cloud-native SaaS offerings automate the last mile of a tax return workflow, including assembly, review, e-signature, and secure delivery for both the individual and entity returns. We see SafeSend as a compelling strategic fit that continues our tax automation strategy, building on the successful 2023 acquisition of SurePrep, which provides first-mile automation. Similar to SurePrep, SafeSend solves key pain points for our customers and their clients by eliminating time-consuming manual tasks through the use of modern software. We expect SafeSend to deliver approximately $60 million of 2025 revenue.
Operator: But the fair value adjustment to acquired deferred revenue.
Steve Hasker: That Mike will discuss in a few minutes. SafeSend is also solidly profitable before integration costs and expected growth investments. We are focused on executing our proven TR acquisition playbook to drive significant growth from SafeSend over time. Let me now discuss the forward product vision for our TAP business and why we remain bullish on its growth prospects. This slide shows key steps in the tax preparation workflow and how our offerings help with each step. SurePrep and SafeSend have bought important first-mile and last-mile automation capabilities, which in combination with our leading research and compliance software allows us to provide a truly automated end-to-end tax workflow solution that is unmatched in the market. The October acquisition of Materia, which has developed agentic and generative AI capabilities for tax, audit, and accounting, meaningfully accelerates our roadmap and will power Co-Counsel for the TAP segment. We are especially excited about Materia's agentic capabilities, which we see as a key to enhancing and connecting our leading content and software offerings into a unified, automated, and intelligent customer experience across tax, audit, and advisory workflows. This provides several opportunities for further innovation that we believe will increase the value we provide to customers. In 2025, we expect to pilot a new review-ready offering that brings significant automation to the tax workflow, addressing some of the most time-consuming tasks for tax professionals and their clients. We also plan to introduce additional AI-powered audit automation capabilities, building on our 2024 launch of Audit Intelligence Analyze. As we free up our customers from manual low-value tasks, we plan to bring additional advisory capabilities, starting with tax planning later this year, through our Genentic AI assistant, that allows our customers to provide incremental value to their clients while generating additional revenue for their practices. Looking forward, we have a number of growth opportunities to continue the strong momentum from our TAP franchise. This includes executing our M&A playbook on Materia and SafeSend, and delivering on a deep innovation roadmap across our tax and audit businesses to both enhance existing capabilities and extend to new product categories like advisory services.
Operator: Our Domino's business in Brazil.
Steve Hasker: Remains a key contributor both as it grows its core offerings to CPAs and also introduces new adjacent capabilities. We are focused on executing against these opportunities and believe our tax and accounting segment is positioned to continue double-digit revenue growth and strong profits over the next few years. I'll now turn it over to Mike Eastwood to review our financial performance. Thanks, Steve. Thanks again for joining us today. As a reminder, I will talk to revenue growth before currency,
Mike Eastwood: And on an organic basis. Let me start by discussing the fourth-quarter revenue performance for our big three segments. Organic revenue grew 8% for the fourth quarter, continuing the trend of 8% or better growth we have delivered in recent quarters. Legal professionals' organic revenue grew 7%. Key drivers from a product perspective remain Westlaw, Co-Counsel, practical law, and our international businesses. Government grew 4% in the quarter. Legal professionals' revenue growth continued to benefit from the migration of customers from a global trans product to Westlaw. This added nearly $5 million to year-over-year revenue growth in the quarter.
Steve Hasker: Our corporate segment had another strong quarter.
Mike Eastwood: With organic revenue growth of 10%. Recurring revenues grew 10%, while transactions rose 12%. Practical law, direct tax, indirect tax, Peguero, Trust, and our international businesses were key contributors. Tax and accounting organic revenue increased 7%. In addition to the expected impact of revenue mix seasonality, tax growth was also affected by the unfavorable revenue adjustment. This adjustment impacted growth by approximately 2% in the quarter.
Steve Hasker: Recurring and transactional revenue.
Mike Eastwood: Grew 5% and 21% respectively. Our Latin America business and ultra tax were key drivers.
Steve Hasker: Moving to Reuters News.
Mike Eastwood: Organic revenue decreased 3% for the quarter, driven by a difficult comparison to the prior year period, which included $18 million of generative AI-related transactional content licensing revenue. Adjusting for this, Reuters organic revenue increased approximately 6%. On a full-year basis, we have recorded $34 million of transactional revenue from the AI content licensing agreements, up from $18 million in 2023. As a reminder, we will face difficult comparisons for Reuters, and for total TR in the first quarter of 2025 as we lap the $25 million of transactional revenue that occurred in the first quarter of 2024. Lastly, global print organic revenues declined 6% or 4% when excluding the impact of the migration of customers from a global print product to Westlaw.
Operator: This was in line with our expectations.
Mike Eastwood: On a consolidated basis, fourth-quarter organic revenues increased 5%. At year-end, the percent of our annualized contract value or ACV from products that are Gen AI-enabled was 18%, up from 15% last quarter. As a reminder, we began to provide this metric with our Q3 results as a way to help you assess our success at bringing Gen AI capabilities to our portfolio. One point of the sequential increase resulted from divestitures being removed from the calculation, with the remainder from growth most notably at Westlaw Precision and Co-Counsel. Turning to our profitability, adjusted EBITDA for the big three segments was $648 million, up 4% from the prior year period with a 41.7% margin. The lower year-over-year margin results from organic and inorganic investments we made in 2024 to position the company for improving profitable revenue growth, in addition to higher incentive compensation costs driven by 2024 performance. Moving to Reuters News, adjusted EBITDA was $45 million with a margin of 20.8%. Global Print's adjusted EBITDA was $55 million with a margin of 38.2%. In aggregate, total company adjusted EBITDA was $718 million, a 2% increase versus Q4 2023. Turning to earnings per share, adjusted EPS was $1.01 for the quarter versus $0.98 in the prior year period. Currency had a $0.02 positive impact on adjusted EPS in the quarter.
Steve Hasker: Let me now turn to our free cash flow.
Operator: For the full year 2024.
Mike Eastwood: Our free cash flow was $1.83 billion, beating our approximately $1.8 billion outlook. The slight year-over-year decline in free cash flow resulted from higher cash taxes and CapEx and lower LSAT dividends as we had previewed at the beginning of the year. I will now provide an update on our capital structure and several capital allocation items. From a liquidity and capital structure standpoint, we remain in an enviable position with below-target leverage and healthy cash flow.
Steve Hasker: This strong financial position is illustrated by our.
Mike Eastwood: December 31 capitalization. We had $2 billion of cash on hand at year-end. We have an undrawn $2 billion revolving credit facility, and we also have $2 billion available for issuance under our commercial paper program. Our December 31 leverage ratio was 0.4 times, below our 2.5 times internal target, as noted in our value creation model.
Steve Hasker: When we pro forma full to $600 million of cash.
Mike Eastwood: Paid on January second to complete the SafeSend acquisition, our leverage remains well below our target at 0.6 times. And we continue to estimate approximately $10 billion of capital capacity through 2027 after accounting for the SafeSend acquisition. We remain focused on value creation that includes annual dividend growth, strategic M&A, and capital returns. We have ample capacity to pursue all three of these strategies in 2025 and beyond. In the first half of 2024, we acquired $639 million of our shares, completing the $1 billion NCIB we had announced in November 2023. For the year, we returned 87% of our 2024 free cash through dividends and buybacks, meeting the 75% return commitment we made last February. Our focus since completing the NCIB has been on strategic M&A, and we are excited about the SafeSign, Materia, and SafeSend acquisitions. While strategic M&A remains a key focus, we are likely to repurchase shares in the future, which along with our dividend, would allow us to deliver to the 75% capital return we discussed at the 2024 Investor Day. And finally, today we announced a 10% increase in our annual dividend to $2.38 per share, up $0.22 from $2.16 in 2024. This marks the 32nd consecutive year of annual dividend increases for the company and the fourth consecutive 10% increase. The increase will be effective with our Q1 dividend payable next month. I will conclude with a few thoughts on the financial impact of recent M&A and our outlook. As Steve mentioned, we closed the SafeSend acquisition on January second. We expect SafeSend to deliver approximately $60 million of revenue in 2025. However, due to the timing of their collections, there is a meaningful fair value adjustment to acquired deferred revenue. We estimate this haircut will reduce the reported revenue in 2025 by approximately $22 million. As a reminder, we add back this haircut to our adjusted profit metrics.
Steve Hasker: And it is excluded from our organic revenue growth.
Mike Eastwood: Calculation. We already have been recognizing approximately $5 million of revenue from commission-sharing agreements through our partnership with SafeSend.
Steve Hasker: As a result of these two items.
Mike Eastwood: We expect the acquisition to add approximately $30 million to $35 million of incremental revenue in 2025, rising in 2026 as the deferred revenue haircut is lapped. SafeSend is solidly profitable, though with expected integration costs and investments, we expect it to be roughly neutral to adjusted EBITDA this year. We expect healthy profits from the business in 2026, with its margins rising towards the overall TR level over the next few years. Moving beyond SafeSend, I am happy to confirm the Fine Law divestiture closed on December second. Note, we also completed two much smaller bolt-on corporates, which contributed approximately $30 million to full-year 2024 revenue. Lastly, following the success of our Thomson Reuters Ventures team, I am pleased to announce we will be launching a $150 million second fund. Now I will return to our outlook. Starting with 2025, we forecast organic revenue growth in a range of 7% to 7.5%. We see total revenue growth of 3% to 3.5% below the organic growth rate, primarily due to the Fine Law divestiture.
Steve Hasker: We see the big three segments growing revenue by.
Mike Eastwood: Approximately 9%, which is at the high end of the framework we provided last February for 8% to 9% growth in 2025 and 2026.
Operator: Our outlook calls for continued.
Mike Eastwood: Modest organic revenue growth acceleration again in 2025. This acceleration will be driven by underlying improvement from our Gen AI initiatives, scaling revenue from acquisitions, and a slight benefit from the Fine Law divestiture. These tailwinds more than offset a tough comparison from the meaningful Gen AI content licensing transactional revenue of $34 million earned in 2024. This tough comp is expected to be a roughly 50 basis point drag to our year-over-year revenue growth in 2025. We are forecasting a 2025 adjusted EBITDA margin of 39%, up 75 basis points from 38.2% in 2024, and in line with our prior outlook. The improving profitability comes despite continued investment, including dilution we have absorbed from the strategic tuck-ins of SafeSign, Materia, and SafeSend.
Operator: As I mentioned last quarter.
Mike Eastwood: We expect our effective tax rate to rise this year from approximately 18% in 2024 due to the full impact of the global minimum tax regulations. We have refined our forecast and now expect a 2025 and 2026 tax rate of approximately 19% from the prior 19% to 19.5% view.
Steve Hasker: We continue to expect our cash tax rate.
Mike Eastwood: To be approximately 5% below.
Operator: Book tax rate.
Mike Eastwood: Moving to capital intensity, we see 2025 accrued CapEx as a percent of revenue of approximately 8%, down slightly from 2024 but broadly in line with the trend in recent years.
Operator: This level of investment is supportive.
Mike Eastwood: Of our continued focus on investing in product innovation, as we strive to deliver stronger revenue growth. We expect 2025 free cash flow to be approximately $1.9 billion, up modestly from 2024 as growing profitability and stable capital intensity more than offset higher cash taxes, the impact of the Fine Law divestiture.
Operator: And higher incentive compensation based on 2024.
Mike Eastwood: Performance. Looking beyond 2025, we have sharpened our financial framework for 2026 and now see organic revenue growth of 7.5% to 8%, driven by big three growth of approximately 9.5%.
Operator: This is the upper end of the prior.
Mike Eastwood: 6.5% to 8% range for total TR and above the prior 8% to 9% range for the big three. We continue to expect 50 or more basis points of adjusted EBITDA margin expansion in 2026.
Operator: I would note this is an organic outlook.
Mike Eastwood: And could be impacted by future M&A. We expect our capital intensity to remain at approximately 8%, and we continue to expect our free cash flow to be in a range of $2 billion to $2.1 billion in 2026. This is in line with our initial view provided last February despite the Fine Law divestiture reducing our free cash flow. I would also like to provide an update on the 2026 organic revenue growth targets that our big three segments provided at our 2024 Investor Day. We are raising the initial ranges for each of the big three segments by 1%. And now see 2026 legal professionals' growth of 8% to 9%, corporates of 9% to 11%, and tax and accounting professionals of 11% to 13%. Turning to the first quarter, we expect organic revenue growth in the range of 5% to 6% and our adjusted EBITDA margin to be approximately 40%. As a reminder, Q1 revenue growth will be impacted by more than 1% from a tough comparison driven by the $25 million of Reuters generative AI transactional content licensing revenue recognized in the first quarter of 2024. Let me now turn it back to Gary for questions.
Operator: Thanks, Mike. Jenny would like to begin the Q&A session. Thank you. If you would like to ask.
Scott Fletcher: Keypad. If you're using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Again, press star one to ask a question. To let everyone signal.
Operator: And our first question is gonna come from.
Scott Fletcher: Scott Fletcher from CIBC. Please go ahead.
Steve Hasker: Hi. Good morning. Thanks for the details on the 2025-2026 outlook. I want to ask about the 2026 outlook. You're taking the organic growth numbers up a percent in each of the segments. Could you just dig into what's giving you the confidence to take those numbers up?
Mike Eastwood: Sure, Scott. I'm happy to start there. Certainly, the foundation is the performance in 2024. 2024 performance is not only the revenue, but more importantly, as we look into 2025 and 2026, the underlying book of business or net sales. We're very pleased with the overall book of business and net sales for each of the big three segments as we closed out December. As I've mentioned in prior calls, Scott, Q4 in December is always a heavy quota period for us. And each of our teams did a terrific job there. You couple that in regards to the overall demand and what our customers are needing and seeking, especially in the Gen AI-enabled world, we're quite optimistic with it. You know, certainly take nothing for granted with it. Coupled with our underlying results in 2024, book of business, our forecast for 2025 sales and renewals, and ongoing conversations with our customers, those are the level of optimism.
Steve Hasker: I'll send Mike. Okay. Thanks. And then sort of a.
Scott Fletcher: A follow-up on the Genesee IPs of that adoption. Can you sort of give us has anything changed since we spoke last in terms of what customers are looking for, what they're reacting to positively as they sort of take a look and get a better look at your product suite?
Steve Hasker: Scott, no. We continue to be pleased with the adoption of our Gen AI products and our translation of those into revenue growth.
Operator: So.
Steve Hasker: Specifically, you know, as we've talked about, Westlaw Precision AI ACV is now up above 40%. Co-Counsel and Co-Counsel Drafting adoption has been exciting for us since we launched and improved those products. And Gen AI more broadly across our customer segment sits at about 18% adoption of the ACV or book of business, and that's ticked up from the last time we reported out. So, you know, for each of our Gen AI offerings, we like the trajectory and the customer uptake. And the feedback we're getting. The only sort of additional color I'd provide is, you know, as we said at our investor day, in March of last year, the thing that's uncertain is the sort of broader pace of change management. Within the professional services that we serve. In terms of them morphing their business models and broadly adopting technologies, changing their practices. That remains a work on for most of our customers. Some are moving very quickly. Some are more cautious. And so I don't think we have full visibility into sort of what that broader adoption curve looks like. But certainly, as I said, all the specific offerings that we've put into the marketplace, we're very pleased with the traction to date and the trajectory of those offerings.
Mike Eastwood: Scott, I would just supplement if we look at the adoption of the products Steve mentioned, and I would just add Checkpoint with Co-Counsel that's in the market. We're pleased with the adoption and to further supplement that we're making incremental investments in 2025 and what we refer to as customer success. Who will work directly with our customers on the adoption and usage of our Gen AI-enabled products.
Scott Fletcher: Okay. Great color there. Appreciate it.
Operator: Thanks, Scott.
Tim Casey: Our next question, so it's come from Tim Casey from BMO.
Operator: Thanks. Steve, could you talk a little bit about if you're seeing any or expecting any increased demands given what appears to be an accelerated pace of change from the new administration in Washington. I realize we're the usual cycle and every new administration brings change, but I'm wondering if you think that is gonna be at an accelerated pace, and that will work its way back to demand for you. And the second question is, you've talked about 2025 as a year of execution that there's items that you would like to do better at internally, and I'm just wondering how you'll measure success on that initiative in 2025. Thank you.
Steve Hasker: Yeah. Thanks, Tim. Look, we're cautiously optimistic. That, as we always are, when there's a change of administration and a whole slew of new rules and regulations and stands toward taxation and global trade and so forth. So I would say cautiously optimistic, but it is too early to tell. You know, I think similar to the other folks that you follow, you know, we're all sort of in that stance of understanding how this is going to play out. But certainly, you know, as an example, our offerings in and around global trade are very, very important for companies that have a changing tariff environment. Our content in and around taxation schema in various countries is critical to tax and accounting professionals. As they serve their clients in a changing environment. And then the sort of broader offerings that we serve, the US government, you know, and certainly on issues of security, we see some potential there. So I would say, yes, Tim, but too early to tell. In terms of better execution, you know, we're very focused, as you know, on customer success. Supporting our software offerings. Across the portfolio. We're very focused on increasing the rate of product innovation. And we're very focused on rolling Gen AI out across our entire employee base and being able to improve the productivity and efficiency of everything we do. Gonna apply the same sort of rigor of execution in each of those amongst others that we applied to the change program. So, you know, as you know, Kirsty Roth oversaw that program and is world-class at sort of putting the right metrics in place and holding each and every one of us accountable. And Mary Alice Futic will support that process in her role as chief people officer. So it's really the same playbook for us as we think about executing in 2025 and beyond. As it was in 2021 and 2022. We've got a bit of confidence around that. I hope not overconfidence, but we've got some confidence that we'll keep each other accountable and make the improvements that we need to make.
Mike Eastwood: Yeah. Tim, I would just add two additional items in that year of execution and laser focus. Certainly, our retention is not a new topic for us. Also, solution selling, which is being led by Laura Flake McDonald, who leads our corporate segment that applies across your but she's been the leader there.
George Tong: Thank you. And our next question is going to come from George Tong from Goldman Sachs. Please go ahead.
Operator: Hi. Thanks. Good morning. You've talked about in the past the goal to drive an acceleration in legal organic revenue growth. And can you just elaborate on some of the traction you're seeing with that acceleration? I know with rounding and reporting, it's difficult to see just based on reported numbers of 7%. But talk about that and how you expect the acceleration curve to play out over the next one to two years.
Mike Eastwood: Sure, George. Happy to start there. Certainly, in Q4 and in the second semester of 2024, on a rounded basis, legal professionals were stable at 7%. We did see a modest improvement in the recurring revenue within legal professionals. Full transparency, there were two drags to legal professionals' organic revenue in Q4. First, we had a slight decrease in transactional revenue. Second, we did sunset two small products. But if you look at it in the big and take a step back, it's excluding the impact of migrating that global print product to online, year over year legal professionals improved 40 basis points in Q4 2024 versus Q4 2023. And on a full-year basis, it's about 95 basis points improvement, call it 100 basis points year over year. So that provides momentum, that provides confidence. Certainly, as we go into 2025, we're optimistic legal revenue growth will continue to accelerate in 2025, really driven by some of the points Steve mentioned earlier with our Gen AI offerings and the continued adoption of the Westlaw Precision GenAI and product. I think Steve mentioned 40 plus percent. I'll be a little more precise. 43% penetration there. Which is very comparable if you go back to the Westlaw Edge product on a timeline basis. It's very comparable in regards to adoption, so broad runway there.
Operator: George.
George Tong: That's helpful context. And then your corporate segment has now sustained double-digit growth for several quarters. Can you talk about the sustainability of that growth trajectory and what you think are the top tailwinds that should support it?
Mike Eastwood: Yeah. I'll start with leadership. There within corporates with Laura Clayton Madonna, who I did mention. Just did an amazing job leading the group. In 2024. We had 300 basis points improvement in corporate. It's going from 7% organic in 2023 up to 10%. Given George that we increased the 2026 range earlier in my prepared remarks, our confidence remains in that sustainability. From our perspective, there's no meaningful change in the prolonged sales cycle. Has the external environment changed meaningfully? Probably not. What has changed is Laura's leadership in driving the internal operational improvement, which includes really rigorous daily management of our sales pipeline, improved connections with our customers. Additionally, George, you'll remember that we acquired Peguero one year ago. So we did get modest benefit in 2024 from the Peguero acquisition. That will continue into 2025. So we're quite confident and optimistic about the continued trajectory of the corporate segment.
George Tong: Very helpful. Thank you.
Operator: Yep. Thanks, George. And our next question is going to come from Jason Haas, Wells Fargo. Please go ahead.
Jason Haas: Hey. Good morning. This is on for Jason Haas. Thanks for taking our questions. Appreciate the color you guys gave around the ACV penetration. You know, across total TR and then for the Westlaw. Can you just give us a sense of how your ACV penetration varies across the different client sizes? And then just any sort of update on your ability to price with these Gen AI products versus the level of the pricing that you guys have taken historically. Thanks.
Mike Eastwood: Sure. If you look at the I'll call it the life cycle kind of value change in regards to the launches, we launched something like Westlaw Precision normally, the penetration is strongest and earliest in what we refer to as our large law within legal professionals. As a reminder, we break it between large law, medium law, and small law based on the number of attorneys in a given firm. So we have consistently, historically, and even now with Westlaw Precision and Gen AI enhancement, we see adoption and penetration first in the largest law firms. That's holding true today. Followed by mid-law and small law. So we do follow the penetration curves and adoptions. By a subsegment and then even a more granular level there. So once again, that's very consistent with what we saw with the Westlaw Edge adoption. What we're seeing now with some of the Gen AI-enabled products, you'll see a smoother adoption across the different sizes of the firms. And it's not as much differentiated with the newer products.
Steve Hasker: I mean, and so he wants to add just to answer that, I think, we're sort of cautiously optimistic, and I think we're seeing positive signs in the marketplace as around the pricing the ability to sort of get more price from our Gen AI offerings in that. And one of the primary reasons for that is they enable us to play an expanded role in the success of our customers. Let me give you a couple of examples. If you think about Westport and Westlaw Precision, one of the big innovations that Mike Dane has driven. He's the, as you know, the product leader for the Westlaw franchise. One of the big things that he's done, he and his team have done is extended into Westlaw Precision AI research memo. So in other words, instead of providing the synthesized and most accurate list relevant case law, the product now produces a first draft of the recent. So that's an expanded role for us. That's a big time saver for litigators and legal researchers. And enables us to drive more value within our customer base. That's one example. The extension of practical among other tools into drafting is another example. Previously, haven't been in the drafting space, and, obviously, drafting is very important. For legal practitioners. So that enables us to charge accordingly. And then on the tax and accounting side with the acquisition of Materia, as I mentioned in my prepared remarks, our customer base is looking to automate every piece of the tax and accounting workflow or the tax preparation workflow that they can in order to meet increasing demand from their clients to provide advisory services. And so material is a key piece of enabling us to play an extended role in that growth the tax accounting practitioners will experience. And that's the basis on which we're able to increase our prices in sensible ways.
Jason Haas: Got it. Appreciate the color there. Super helpful. And then just had a follow-up on the back of some of the comments you guys gave earlier for your expectations under the new administration. Can you maybe just remind us of your government exposure, you know, both within legal and I think maybe some in print and sort of why you guys would or wouldn't be concerned about this business under the new administration with Doge. Thank you.
Mike Eastwood: Yeah. I think if you look at our government business overall, we'll approach nearly $600 million in revenue for the full year 2024. If you look forward, we're looking at about 8% organic growth would be our expectations for 2025 and 2026. As a reminder, if you look at the government business, it is quite diverse in regards to the product offerings that we provide. Our government customers, which are at the federal, state, and local levels. By far, the largest portion of that is within what we call Westlaw legal research product. Offering there. We also have a sizable position of print within the government business, and we also have our Thomson Reuters special services business that is a component there along with our risk broad and compliance with Clear. So we have quite a diverse product portfolio offering within government overall. So hopefully, that's helpful.
Jason Haas: Yeah. It's definitely helpful. Thank you. And congrats on the strong results and updated forward outlook.
Steve Hasker: Thank you. And once again, if you have a question,
Operator: And I have no questions in the queue at this moment.
Steve Hasker: Alright. Thanks, everyone. Thanks, Jenny. Thank you.
Operator: And this will conclude today's call. Thank you for your participation. You may now disconnect.